Operator: Good morning. My name is Shirley, and I will be your conference operator today. At this time, I would like to welcome everyone to the Fiscal 2014 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. (Operator Instructions) Thank you. Mr. Ryan VanWinkle, Chief Financial Officer, you may begin your conference.
Ryan VanWinkle: Alright, thank you Shirley and good morning everyone. Welcome to the Ferrellgas Partners, fiscal 2014 earnings conference call. I am Ryan VanWinkle, Executive Vice President and Chief Financial Officer and President of our Midstream Operations and joining me today is Steve Wambold, President and Chief Executive Officer; Boyd McGathey, Executive Vice President and Chief Operating Officer, and Tod Brown, Executive Vice President and President of our Blue Rhino Operations. Before we get started, I'd like to remind all of you that some of the statements made during this call maybe considered forward-looking, and that various risks, uncertainties and other factors could cause actual performance to differ materially from anticipated performance. These factors are discussed in our Form 10-K and other documents filed from time to time with the SEC. So, with that I will turn the call over to Steve Wambold, President and Chief Executive Officer for his opening remarks.
Stephen L. Wambold: Okay, thank you Ryan. As he normally does, Ryan will return a bit later to give us some details on fiscal 2014's financial results. He will also report on the continuing steps to improve our balance sheet. In addition as President of our recently formed Midstream division, he will also discuss the progress and outlook for this important diversification initiative. Of course before Ryan's presentation, Tod will talk about Blue Rhino's fiscal 2014 performance and after Ryan talks we will take any questions that you have for us. First I will however provide some perspective on fiscal 2014's performance and comment on our outlook for 2015 including the ongoing execution of our growth strategy. And as I was considering how to characterize fiscal 2014, really the best description seem to be extremely challenging while also extremely gratifying. Obviously these are usually not uttered in the same sense however, there is no doubt winter was definitely extremely challenging for the propane industry. Temperatures were 4% colder than normal and propane prices were highly volatile which resulted in supply and logistics issues that really none of us in the industry had ever experienced previously in our careers. As I pointed out before our operations team did a great job of rising to the challenge. They delivered excellent service to customers and even increased the market share along the way. On the other side of the fence from the extremely gratifying view point, we did post record adjusted EBITDA, record gross profit, and record distributable cash flow. Obviously each metric exceeded budget. Adjusted EBITDA improved to $288 million which was lower than the previously raised guidance range of $285 million to $290 million and surpassed our prior year record by nearly 6%. Gross profit rose 7%, reflecting improved margins in our national accounts division, industrial commercial, and wholesale propane as well at record margins. DCF attributable to equity investors improved to $190.5 million producing DCF coverage of 1.17 times compared with $183.1 million and DCF coverage of 1.13 the year before. Probably the most gratifying aspect of fiscal 2014 which arguably made that a watershed year was our first major non propane acquisition, Sable Environmental on May 1st, the first day of our fourth quarter fiscally. Sable is a fast growing fluid logistics provider, operating saltwater disposal wells in the Eagle Ford Shale region of South Texas. This acquisition demonstrated our commitment to strategic diversification and the growth of our cash flows and we immediately enhanced Sable’s position in the Eagle Ford by acquiring two wells from C&E Production after fiscal 2014 ended and we also picked up -- buy a third one at our discretion. Ryan will have some more detail into Sable’s substantial growth opportunities but I wanted to point out an important aspect of these deals that shouldn’t be overlooked. Almost immediately after the acquisitions, the management teams of both Sable and C&E purchased $50 million and $12 million of Ferrellgas equity respectively. These unusual actions were also gratifying which indicated confidence in the direction of our company. Now looking out for fiscal 2015, forward debt it appears that mother nature may again provide us with some weather which is conducive to propane consumption at least if the Farmers' Almanac is accurate. This highly regarded publication is forecasting colder than normal temperatures in three fourths of the United States. Recent headline in the news release from Farmers Almanac indicates more shivering and more shoveling. While this is basically good news for the industry, the weather doesn’t have to be quite as severe as last year for us to have a great one. It’s relatively early in the year but we are projecting adjusted EBITDA between $300 million and $320 million with further improvement in DCF coverage for fiscal 2015. Okay I’m going to turn the call over to Tod Brown for an update on Rhino’s fiscal 2014 results.
Tod D. Brown: Thank you, Steve. As an industry leader in the tank exchange category, Blue Rhino once again experienced a very strong performance during the fourth quarter. As you are aware the fourth quarter of our fiscal year encompasses the heart of the selling season at Blue Rhino. I am pleased to say that we experienced a very strong volume performance during this period which was due in part to overall positive comp store sales from our retail partners during the quarter. The fourth quarter got off to a great start with the Memorial Day holiday providing three of our highest single volume delivery days in Blue Rhino’s 20 year history. Our top 10 retail partners all experienced positive sales growth during the quarter being driven in part by mild summer temperatures. Total unit volume during the quarter grew by 8.6% versus the same quarter in the prior year. Our full fiscal year volume experienced growth of 9.4% versus fiscal year 2013. This is the best percentage increase that we’ve experienced in the recent years. As the weather turns to the fall season, Blue Rhino’s products business comes more into focus. With the addition of the Mr. Bar-B-Q brand which was acquired 18 months ago, we are entering into our first full fiscal year where all product offerings are under a common sales approach which is really resulting in some new opportunities and synergies. We already are seeing some early season success by adding grills, fire pits, and accessories at many regional and large national format retailers that have not carried our products in the past. I look forward to sharing specifics on those results in future calls. That concludes the comments on Blue Rhino's fourth quarter performance and with that I will pass the call over to our CFO, Ryan VanWinkle.
Ryan VanWinkle: Alright, thank you Tod. I am happy to once again report record gross profit, adjusted EBITDA, and distributable cash flow this fiscal year. Our 2014 adjusted EBITDA performance reflects the third record year in the last five and our sixth record year in the last nine, providing investors an impressive track record of consistently improving results. Our adjusted EBITDA performance of $288 million was in line with market guidance of $285 million to $290 million and produced distributable cash flow coverage of 1.17 times. This excess in coverage provided the partnership $28 million of excess cash flow to fund acquisition and grow capital expenditures in 2014. As a result of a strong performance and our efforts to strengthen and fortify operations, our equity cost of capital has continued to improve and today sits in the low 7% range. Likewise, our long-term cost of debt has also improved marked by our recent offering of senior notes issued at an effective interest rate of 5.9%. As a result we are able to focus (Technical Issue) maintaining our operating partnerships current financial by reaching approximately 3.5 times while maximizing the accretions of these acquisitions for unit holders. In 2014 we were very active in the financial markets issuing 475 million of senior notes in two transactions, reducing debt -- refinancing debt at more attractive rates, and financing our acquisition of Midstream Operations. We also issued 92 million of Ferrellgas Partners common units to selling shareholders of Midstream Operations as well as our parent company fully addressing the equity component of these recent acquisitions. And finally we amended our bank credit facility twice increasing its capacity by 50% to $600 million improving borrowing rates and extending its utilization to include operations outside retail propane. As a result today we sit with nearly 240 million of borrowing capacity which is more than adequate for our working capital and near-term growth needs. We have no long-term maturities due until 2020 and with our accounts receivable facility not maturing until September of 2016 and our bank credit facility not maturing until October 2018, we are well positioned in the capital markets through the midterm. Since the conclusion of our fiscal year we also made one further announcement relative to our Midstream Operations. On September 2nd, we acquired two saltwater disposal wells in the Eagle Ford region of South Texas. These two wells together with our six previously owned wells brings the total number of operating disposal sites to eight providing permitted capacity to the market of 180,000 barrels per day. Before moving into specific numbers for the year, I want to reiterate Steve's comment regarding our expectation for 2015. As we continue to build upon the success of our propane operation, along with the full year impact of our recently acquired Midstream Operations we are providing adjusted EBITDA guidance for 2015 in the range of $300 million to $320 million. This would produce yet another record breaking year for Ferrellgas and its investors. Now for a brief look at the financials for the year, propane sales volumes were 947 million gallons, a more 5% increase over last year's performance. We are very pleased to have experienced increased propane sales in each major customer category, reflecting our efforts to retain and grow our collective customer base. Propane sales benefited this year from nationwide temperatures and the areas in which we serve that were 4% colder than normal, in addition to our organic growth efforts and the partial impact of the seven retail propane operations that we acquired. As you may recall from third quarter teleconference, we implemented a short fill strategy to overcome historically high wholesale prices caused by industry wide storage and transportation issues during the peak of the winter season. Our primary goal in facing these obstacles was to ensure that our customers didn’t run out of propane. To accomplish this we intentionally delivered propane in reduced quantities or short filled the need of our customers through the peak of the challenges. While we accomplished this goal, we do believe it partially offset the favorable volume trends and increased our operating cost on $0.01 per gallon delivery basis. Gross profit for the year was also a record of $791 million reflecting a more than 7% increase from the prior record of $739 million achieved last year. This increase in gross profit resulted from increased propane sales volumes, improved commercial and wholesale propane margins, and the inclusion of midstream operations in the fourth quarter. Operating expense for the year was $446 million compared to $410 million in 2013. Fiscal 2014 operating expenses reflected the incremental costs associated with propane sales volumes while managing through the aforementioned short fill. Additionally the acquisition of Midstream Operations and an accrual for contingent consideration related to our Sable acquisition also increased operating expenses this year. General and administrative expense was $46 million compared to $42 million in the prior year reflecting increased performance based incentives and certain M&A costs associated with deals completed and those diligenced. And for the year equipment lease expense was approximately $18 million compared to $16 million last year and was materially in line with our plan for the year as we continued to address our truck fleet to best manage the overall cost of transportation. And finally interest expense was $87 million down from $89 million in 2013. Our reduced interest expense this year -- from October refinancing of long-term debt that reduced the annual interest rate from 9.8% to 6.75%. As stated before, all this resulted in a record adjusted EBITDA for 2014 of $288 million up from the prior year record of $272 million and record distributable cash flow of $191 million up from a $183 million which was also achieved last year. We are very proud of these results, we look forward to another record breaking year in fiscal 2015, so we continue to build upon our past success and growing our effort to diversify our operations. This concludes my comments on the financial performance of the partnership and at this time we’d like to turn the call back over to Shirley and we are happy to answer any questions the group may have.
Operator: (Operator Instructions). Our first question comes from the line of Theresa Chen from Barclays Capital your line is open.
Theresa Chen - Barclays Capital: Good Morning.
Stephen L. Wambold: Good Morning.
Theresa Chen - Barclays Capital: First, I had a question about the terms of the deals of acquisition, I mean for both the recent Midstream ones you had buying into your equity, is that something that we should expect for future deals?
Ryan VanWinkle: Yes, this is Ryan. So in both cases we had parties that were interested in the continue evolution of the partnership and obviously you need a goal as to maintain or slightly improve our leverage. So to the extent we are buying operations in excess of three and half times cash flow, there is always going to be an equity component and whether that equity component is in the public market, it’s a transaction with our parent company, Ferrell companies or its with the selling shareholder that will also determine (Technical Issues) shareholders stay with the organization and support us from our equity perspective. It will not necessarily be a requirement of every transaction though.
Theresa Chen - Barclays Capital: Got it and then also on the guidance, this $300 million to $320 million in adjusted EBITDA that roughly 7.5% to 7.6% growth in spite acceleration from what you did in fiscal 2014. I mean without getting into too many specifics, can you just help us think about broadly how much of that would be attributable to the legacy retail business, how much of it would be attributable to Midstream, and then how much of that would be attributable to cylinder exchange?
Ryan VanWinkle: Okay, so the first one I can tell you we don’t break cylinder exchange separate of our retail propane operations. We have publically said that we anticipate kind of annual EBITDA performance from our existing Midstream operations in the $30 million range. And so some of them play in the range of $300 million to $320 million. This is our first year in these operations and there could be slightly better or slightly worse than that in our first year. And also the majority of our cash flow from our propane operations obviously is dependent upon the winter agencies but we are not quite there yet. So I guess safely to say roughly 30 of its coming from Midstream and the rest of its coming from our historical legacy operations and there could be a little bit of play in both of those that is provided in that range we have provided.
Theresa Chen - Barclays Capital: Thank you very much.
Ryan VanWinkle: Thank you.
Operator: (Operator Instructions). There are no further questions in queue at this time.
Stephen L. Wambold: Okay, thank you for your time and interest in Ferrellgas. We continue to be laser focused on our game plan and we look forward to our positive momentum continuing through fiscal 2015 and beyond, thank you.
Operator: This concludes today's conference call. You may now disconnect.